Martin Sorrell: Good morning, everybody. Good early morning. It's about -- what time is it? 5:30 here in New York. We've got an extra 1 hour in bed because they put the clocks back. 
 All right. So this is the trading statement for third quarter 2016. You'll see the -- we have presentation on the third quarter. You have hard copy on the 30-year history and other information. Paul's going to kick off with a full description of the third quarter and I'll come in a little bit on the strategy after he's finished. 
 Over to you, Paul. 
Paul Richardson: Thank you, Martin. Okay. So good morning, ladies and gentlemen. Third quarter 2016, the highlights of the third quarter and the year-to-date. So in the third quarter, we had reported revenues up 23.4% at GBP 3.6 billion. On a constant currency basis, revenues were up 7.6%, and on a like-for-like basis, revenues were up 3.2%. On the third quarter net sales basis, growth was 23.6% on a reported basis, due to the strength of foreign exchange, 7.8% on a constant currency basis and 2.8% like-for-like. On the 9-month year-to-date, reported revenues were up 16% at 15.8% or just under or just over GBP 10 billion, up 8.5% on a constant currency basis and up 3.9% on a like-for-like revenue basis. 
 The 9-month year-to-date net sales growth, again, was nearly 16% on a reportable basis at 15.2%, 8% on a constant currency basis and 3.4% like-for-like. Reported 9-month headline operating margin was up 0.4 margin points consistent with the half year and 0.3 margin points on a constant currency basis, again, consistent with the half year in line with the targets for the full year. 
 The average constant currency net debt was up GBP 434 million for the first 9 months at GBP 4.2 billion and point-to-point net debt was up only GBP 74 million on the same basis by constant currency, reflecting significant working capital improvement. 
 9-month net new business wins of GBP 3.5 billion for the 9 months compared to GBP 3.2 billion on a constant currency basis for the same period, i.e., 9 months in 2015. And after 9 months, the share buybacks totaled GBP 342 million or 1.6% of share capital compared to GBP 588 million for the same period in 2015 with a full year target of between 2% and 3%. 
 To take you through the effects of currency and acquisitions, I'm going to focus on the quarter 3 revenues. The like-for-like revenue growth of 3.2%, acquisitions added in the quarter 4 .4%, and on the year-to-date basis 5%, approximately. Therefore, on a constant currency basis, you can see in the third quarter, revenues were up 7.6%. 
 In the quarter, foreign exchange added almost 16% to the results. So the reportable sterling revenue growth of 23.4%. On a year-to-date basis, currency added 7.3%. Therefore, on a year-to-date basis, reported revenues were up 15.8%. If we were a dollar reporting company, reporting our revenues on the year-to-date basis, instead of the 16% growth, we would have reported 5%, if we were reporting in US dollar or 4.7%, if we were reporting in euros or minus 6%, if we were reporting in yen. 
 As you can see on the following slide, so as I mentioned, currency movements accounted for plus 15% increase in the reported revenues and net sales. So far as a result of the sterling weakness against mostly the currency impact, all 11 currencies here, sterling is considerably weaker in the range of either 8%, in the majority sort of 15%, 16%, on the extreme 29% against the yen. 
 So what does this mean for the group this year? Last year, we had a currency headwind of basically 1%. In the first quarter, we had a positive currency impact of plus 1%. In quarter 2, you can see plus 4%. In quarter 3 and quarter 4, based on dollar-pound $1.25, we're expecting a 15% to 16% benefit. Therefore, on a full year basis, we're expecting the benefit of currencies on our results to be plus 10% on revenues in net sales. If it's slightly more than at the half year stage, we will anticipate at a range of 8% to 9% benefit from foreign exchange. 
 Turning now to revenues and net sales by sector for the third quarter. Overall, as you can see, on revenues of GBP 3.6 billion for the quarter. On a like-for-like basis, revenues were up 3.2%, and on net sales for the quarter of GBP 3.1 billion, on a like-for-like basis, net sales were up GBP 2.8 billion. This was slightly slower than the rate we achieved at the half year on net sales. And I will compare mostly discipline is the first half run rate. So net sales for the first half, we achieved 3.8% and in quarter 3, the rate of 2.8%. So in advertising and media investment management, the revenues were GBP 1.6 billion. In the quarter, we achieved like-for-like net sales growth of 3.5%. At a half year stage, our first half growth on net sales similar basis was 4.6%. In data investment management, revenues were GBP 655 million in the quarter. We saw like-for-like net sales growth basically flat in the quarter, having grown 1% at the half-year stage. 
 In public relations and public affairs, we saw revenues of GBP 287 million in the quarter, having accelerated its rate of growth to 5.1% in quarter 3, having grown 2.8% in the first half. 
 In branding, identity, healthcare and specialist communications, we saw revenues of GBP 1.5 billion in the quarter, growing at 2.6% in quarter 3, having grown 4.4% for the first half. And again, just to repeat and remind you, of the GBP 3.6 billion revenues in the quarter, we saw net sales growing 2.8% in quarter 3 compared to 3.8% in the first half.  When I do the same on a year-to-date basis, really you've had the numbers. So in terms of advertising and media investment management, which represents approximately 45% of the group, where you can see that fairly easily, with the GBP 4.5 billion of the GBP 10 billion revenues in the quarter -- sorry, in the year-to-date, we saw like-for-like growth after 9 months of 4.3%. The data investment management business, which represents approximately 19% of the group, had year-to-date net sales growth of 0.7%. The public relations and public affairs business representing around 8% of the group, had year-to-date net sales growth of 3.6%, and the branding, identity, healthcare and specialist communications businesses, representing 28% of the group, had year-to-date net sales growth of 3.8%, with the group overall having net sales growth of 3.4%. 
 As we've seen before, it is very much impacted the quarter-on-quarter growth by the prior year performances. So if you were to look at quarter 1, 2015, on the net sales 1-year column, you see last year, we grew 2.5% in quarter 1, 2.1% in quarter 2, 3.3% in quarter 3, which is the one we are lacking, and 4.9% in quarter 4. So if you were to compare the 2-year run rate for this year and you take the first quarter 2015 at 2.5% and the first quarter 2016 at 3.2%, you have a combined growth rate of 5.7%. You do the same for quarter 2, the combined growth rate of 6.4%, and likewise, to quarter 3, the combined growth rate of 6.1%. And you can see a number of things: One, the very consistent rate of net sales growth that we've achieved basically over the last 2 years of around the 5%, 6% or 7%, and likewise on the revenues, where it was considered to be stronger in the earlier years, the gap between revenue growth and net sales growth has narrowed as the years and the quarters have progressed and that's the trend that we're continuing to see, the smallest or the closing of the gap between revenue growth and net sales growth. And so when you compare this to the competition, and as you know, the competition do not report, both revenues and net sales, so we've taken our revenue growth numbers on a 2-year combined basis. And looking at the last 2 quarters, you can see we're around 7% to 8%, consistent with most of the industry; Omnicom 8% to 9%; Publicis between 1% and 4%, Interpublic quite strong at between 10% and 11%; and Havas similar to ourselves, around the 7% to 8%. 
 In terms of by discipline, some commentary. In the advertising and media investment management discipline saw the strongest like-for-like revenue growth of 5.5% and the second strongest of disciplines in net sales growth at 3.5% in the quarter. 
 Advertising grew in North America and Asia Pacific, but slowed relatively in the U.K., Africa and the Middle East. Ogilvy performed well in North America and Asia Pacific, J. Walter Thompson company performed well in North America and Latin America and Grey was strong in most regions, including North America, U.K., Western Continental Europe and Latin America. 
 Our media investment management business is up strongly in North America, Continental Europe, Asia Pacific, and in Latin America, we're improving. 
 In acquisitions, we had 5 acquisitions in the quarter. In China, I won't go through them. They are detailed in the back of the presentation, a small commentary about each acquisition. But the 5 advertising acquisitions were this quarter in China, in Belgium, in the U.S.A., in Ecuador and in Turkey. And there were 2 acquisitions for media, 1 of which, Triad Retail Media in the U.S.A. is our largest, in terms of both revenues acquired and consideration paid year-to-date, and obviously, that we'd be closing towards the end of the fourth quarter. And the second media acquisition was completed this quarter in Norway. 
 Turning now to data investment management. We saw constant currency net sales up 0.8%, and on like-for-like basis, flat in the quarter. The U.K. and Latin America showed improvement compared with the second quarter. Africa showed strong growth, offset by lower growth in North America and Asia Pacific with Continental Europe basically flat. Though we had good performance in U.K., Germany and Spain in the quarter, and very strong comparatives in Italy compared to a growth last quarter of around 25% in market research business, and in France, in particular, we were basically flat. 
 Good performances were seen at Kantar Millward Brown, Kantar Media, Kantar Health, Kantar Worldpanel, Kantar Added Value and Lightspeed. In terms of public relations and public affairs. We saw like-for-like revenue growth of 5% and the strongest net sales growth of 5.1%, accelerating, as I mentioned, from the first half growth of 2.8%. All regions are up, particularly strong growth in the United Kingdom, Continental Europe, Latin America and Africa. And strong growth came from Cohn & Wolfe, one of our global networks, the social content development in the U.S.A. at SJR, and strong performances at our newly integrated multinational offering specializing in financial and crisis management at Finsbury and Hering Schuppener, in all their major markets of the U.S., U.K. and Germany. 
 In terms of branding, identity, healthcare and specialist communications, we saw strong constant currency revenue growth of 13.7% and net sales growth of 12.8%, but on a like-for-like basis, excluding acquisitions, we saw revenue growth of 2.8% and net sales growth of 2.6%. Branding and identity and direct, digital and interactive businesses grew above average, as part of our specialist communications businesses and healthcare were slower than the average. 
 In terms of acquisitions, we made 2 acquisitions, 1 in Hong Kong and 1 in the U.K. in this discipline in the quarter. 
 Turning now to across the group, looking at our direct, digital interactive businesses. Across all the various disciplines, we had total revenues of GBP 5.4 billion or approximately 38% of the total, compared to 37% on the same basis a year ago, so i.e. 1% improvement in share of the group, up over 11% in constant currency terms and up over 6% on the like-for-like basis on the digital revenues. The number of people working in this group for direct, digital and interactive is almost 46,000 or around 34% of the headcount and we completed 2 acquisitions in France and 2 acquisitions in the U.S.A. in the quarter. 
 So turning now to revenues and net sales by region for the third quarter. On a similar basis, I'll make reference to the first half run rate on net sales. The North America with revenues of GBP 1.3 billion in the quarter, had like-for-like net sales growth of GBP 3.1 billion, which compared to GBP 4.0 billion at the first half stage. And as I will repeat later on, but I'll just make a reference, the strengthen in U.S.A. was in advertising and media, public relations and public affairs, and in particular, branding, identity was strongly up in the U.S.A. 
 In United Kingdom with revenues of GBP 461 million in the quarter, we saw net sales growth of 2.7% in quarter 3 compared to 3.3% in the first half. U.K. slowed compared to the first half in all disciplines apart from data investment management and public relations and public affairs, which was stronger. 
 In Western Continental Europe, we had revenues of GBP 702 million, which saw like-for-like growth in net sales of 3.2%, down a bit from the first half growth of 4.3%. Just to remind you, we had very strong 6% growth in quarter 2 of the first half in Western Continental Europe and we saw good growth in Belgium, Germany, Greece, Italy, Ireland, Sweden and Turkey with France, Spain and Switzerland slightly slower than they were in the first half. 
 In Asia Pacific, Latin America, Africa, Middle East and Central Eastern Europe with revenues of GBP 1.1 billion in the quarter, we saw like-for-like growth of 2.2% in quarter 3 compared to 3.5% in the first half. And actually we saw good growth in China, and I'll specify the numbers later, but they were strong. Good growth continued in India, Indonesia, Korea, Malaysia, Philippines, Thailand and Vietnam with softer performances in the Philippines and Singapore. 
 So overall, for revenues of the Group, GBP 3.6 billion in the quarter, growing at 2.8% on a like-for-like net sales basis compared to 3.8% a year ago, sorry, in the first half. So North America, I think, what is interesting to see across all the 4 geographies, on the year-to-date basis, we're growing at somewhere between the 3% and 4% range. So North America, which represents 37% of our business, we saw year-to-date like-for-like net sales growth of 3.7%. In the United Kingdom, which represents 14% of our business, we saw year-to-date like-for-like net sales growth of 3.1%. In Western Continental Europe, which represents 20% of our business, we saw year-to-date like-for-like net sales growth of 4%, and in Asia Pacific, Latin America, Africa, and the Middle East, Central and Eastern Europe, which represents 29% of our business, we saw year-to-date growth on a net sales basis of 3%. Again, I'll give you a bit more color by geography first, by revenues. So the box on the right shows the quarter 3 growth of 3.2% and the year-to-date growth of 3.9%, broken out between the mature markets, which in the quarter was growing at 3.2%, consistent or similar to the faster growth markets, which in the quarter was growing at 3.2% as well. 
 And against each of the subregions, we've shown the top number being the quarterly rate of growth in revenues and the border figure below in the year-to-date. And I think you can see that on the revenue basis, strong growth in Latin America at 7% in the quarter, in Western Continental Europe of 5.4% in the quarter, and Asia Pacific at 6.7% in the quarter. 
 Turning now to exactly the same on a net sales basis, so overall, year-to-date 3.4% in the quarter, mature markets are growing at 3.0% and the faster growth markets at 2.2%. As you can see here, that in the quarter, North America, which was pleasing, and I think, consistent with our first 2 quarters is growing at around 3.1%, Western Continental Europe in the quarter growing at 3.2%, United Kingdom at 2.7%, Latin America at 4.4% and in Asia Pacific at 5.6%. A slight disappointment in Central and Eastern Europe and the Middle East and Africa, which actually brought the region of Asia Pacific and Latin America down in combined basis where the Latin American and Asia Pacific subregions did quite well. 
 So taking our top 6 markets, which represents around 68% of our revenues and net sales, and you see here on a combined basis, revenue grew at 3.5% and net sales growing at 3.3%. So the U.S.A. consistent trend with the prior 2 years, 3.8% year-to-date, having been grown at 4.1% at a half year stage on a net sales basis. In the U.K., net sales growing at 3.1% year-to-date, having grown at 3.3% at the half year basis. 
 Encouraging signs coming through in Greater China, which at the half year stage was minus 3% on a net sales basis. And in Mainland China, obviously, in Greater China includes mainland China, Taiwan and Hong Kong, we saw revenue growth of almost 12% in the quarter and net sales growth of over 6% in net sales. And again, this is a much improved performance on our media business in the second half in Mainland China improving the overall position, albeit still slightly down on a full year basis and we're still expecting it to be around flat to possibly positive on a full year basis, but it's considerably better than the minus 3 on a net sales basis of the first half in Greater China. 
 In Germany, strength continues with 6.1% growth after the first half, accelerating to 6.4% on a net sales basis very strong in Germany. On ANZ, we can't comment on the quarter, but on the year-to-date basis, they were around 2.8% growth in net sales and similarly in revenues. And in France, we continue to do better than we have done for the prior 2 years with positive growth of around 2.1% year-to-date, having grown at 3.3% at the half year stage. 
 When I take the BRIC markets, interesting to see that both China at #3 and India at #8 has now grown as the sort of the largest, the second-largest of the 4 BRICs, overtaking Brazil, partly because there was very strong growth in India. And you can see here, of the BRIC countries, the India growth continues to be very powerful at around 14% as it was in the first half continuing at 13.6% after 9 months. Greater China, I've spoken about already. Brazil, we do think has bottomed out and it's basically flat lining in terms of where it was compared to where we think it will go in the future, but basically minus 1.5% for the year, probably better than some expected but still somewhat disappointing. But in our view, the economy is recovering or bottoming out. And in Russia, after quite an encouraging first half, which was basically flat, we were down 7% in quarter 3. 
 So to repeat some of what I've said that in terms of some of description by region. So North America had constant currency net sales of 4.8%, and like-for-like 3.1%, slightly weaker than the second quarter, which actually in terms of North America, our growth rate year-to-date has been the following in net sales quarter 1, 2 and 3. 3.9% in quarter 1, 4% in quarter 2, 3.1% in quarter 3. We saw advertising and media investment management, public relations and public affairs and branding, identity improving. The custom in healthcare areas of data investment management were softer in the quarter. 
 In the U.K., we saw constant currency net sales growth of 6.6% and like-for-like 2.7% slowed compared to the second quarter, again, which was stronger at 3.4%. All sectors, except data investment management and public relations and public affairs were softer, perhaps the first sign of Brexit anxiety. 
 In Western Continental Europe, continued to grow at reasonable rates. Slowed in the third quarter compared to a very strong 6.2% growth in quarter 2, with net sales growth of 3.2% in quarter 3. As mentioned before, Belgium, Denmark, Finland, Germany, Greece, Ireland, Italy and Spain and Turkey were strong and slower growth we saw in Austria, France, Spain and Switzerland. 
 And in Asia Pacific, Latin America, Africa, Middle East, Central and Eastern Europe, the strongest net sales growth, constant currency at 11.9%, and on like-for-like basis, 2.2%. Slightly weak in the second quarter with good performances coming out of Greater China or Mainland China, which improved Greater China, India, Indonesia, Korea, Malaysia, Pakistan, Thailand and Vietnam were strong, partly offset by weaknesses in Philippines and Singapore. 
 So if we turn now just to banding by country. You can see that some of the revenue growth by more than 20% in the quarter, still very strong in Argentina, partly inflation-driven at over 40% and over 20% in Turkey and then in the 10% to 20% range Mainland China, South Korea, and Sweden, France. And in the next band with a 5% to 10% growth, many of which you've heard before, Belgium, Greater China, Denmark, Germany, India, Indonesia, Italy, and Thailand. 
 In terms of categories, this is impacted by revenue wins and losses. So electronics, which is not a -- not one of the -- the big 4 categories, we've had some successes recently with new wins at [indiscernible] Sony and that has come through. In retail, we've had some successes with expanded business with Ikea and that has come through. And in terms of the big 4 categories, automotive and food in the 5% to 10% growth are doing well. And our government business, with big new wins actually in Queensland in Australia and for the U.S. Navy having a good performance as a category on its own. 
 In terms of trade estimates of major new business wins and of the year-to-date. I'll just take a second to go through this. So the items in red are those where accounts have moved to between group companies. The items that are shaded are those that have been won or lost in the third quarter. So in terms of those that have been won in the quarter, a significant win for MediaCom of the non-TV business in China for Procter & Gamble and the consolidation of the BT-EE business, which we did have within the group before was consolidated and secured in the quarter 3. And likewise, so on and so forth, I won't go through them all in quarter 3, but a significant number of both U.K. and global wins coming through on the first page. And if I turn to page 2, a number of other wins, but mainly in media in the Philippines, U.K., India, South Africa, and Germany, and a significant piece of business for 1 in the U.S.A. as well won in the quarter. 
 When I turn to losses, again, these have been reasonably public and well-known for the Volkswagen, loss of the global business will have an impact on us in 2017. As a loss of the AT&T business, both at Grey on the DIRECTV business they have, the MEC, the AT&T media by account is taking effect in the final quarter of this year. Those are the 2. And then again, the red indicates, where business has moved within the group, within country in most cases. 
 So in terms of where we stand, on our internal estimates of net new business wins. So the quarter actually was a strong quarter in new business. At the half year stage with new business wins were GBP 2.9 billion, and in quarter 3, we've added GBP 2.3 billion to add a year-to-date number of $5.3 billion or the GBP 3.5 billion referred to on Page 1. That compares to GBP 4.9 billion after 9 months or GBP 3.2 billion referred to on Page 1. So a pretty respectful new business win rate year-to-date. I think but more pleasing is those wins that have come in since the 1st of October across the board are really very strongly U.S.A. centric, the big win for Haworth, the Wal-Mart-Media Account was announced this quarter or since 1st of October GBP 900 million in billings and some very significant creative businesses won in the U.S.A. in the quarter, which you can see here and a couple of major public relations assignments also won, 1 global and 1 U.S.A. So a good run in October, or basically 7 or 8 significant new business successes. 
 In terms of the balance sheet. So the average net debt for September year-to-date, was up GBP 434 million on a constant currency basis at GBP 4.2 billion compared to GBP 3.77 billion at after 9 months. This compares to the same numbers being GBP 612 million higher at the half year stage. So we are seeing improvement in the average net debt as the quarter progresses. Net acquisitions, including earn-outs for September year-to-date were GBP 370 million compared to GBP 559 million a year ago, and share buybacks of GBP 342 million compared to GBP 588 million a year ago. The point-to-point net debt at the 30 of September is GBP 74 million higher compared to a year ago of GBP 4.68 billion compared to GBP 4.61 billion on constant exchange rates, reflecting significant acquisition and share buyback activity, more than offset -- just more than offset the significant improvements we're making on working capital and have done that since the last 6 months throughout the year. 
 So the average net debt to headline EBITDA for 12 months to September remains safely within our target range of 1.5 to 2x for the year. In terms of acquisitions and investments year-to-date, we've done 46 deals so far year-to-date, 16 in new markets, 31 in quantitative and digital, 11 in both in an overlap and 10 individual acquisitions either for client or agency needs in advertising, PR, branding, healthcare and, of course, communications. 
 In terms of the uses of free cash flow. So in acquisitions, so far we've spent GBP 305 million, excluding earn-outs. If the Triad deal was to close in the final quarter, the consideration is a further GBP 200 million payable in cash. So we will be beyond our GBP 300 million to GBP 400 million guidance, in terms of small to medium-size acquisition for the year and closer to the GBP 600 million figure or GBP 650 million figure, we spent last year on acquisitions. 
 In terms of share buybacks. Last year, we had bought 3% year-to-date, this year 1.6% and we're still targeting our range at the 2% to 3% of share buybacks for the year but probably at the lower end of the range for guidance of 2016. The dividend increased by 23% at the half year point, equaling the payout ratio that we set ourselves a target of 50% payout at the half year, which we hope to repeat and follow through on a full year basis. And in terms of head room of undrawn facilities, it's around GBP 3.3 billion. It's shown here in some detail on the chart. So as you can see here, we've got a very even maturity profile of our bonds. Just for information, the 2017 sterling bonds that matures on April 2017 of GBP 400 million has been prefinanced and we were successful in doing a long dated bond to September 2046 in sterling at 2.875% recently. And then you can see that a spread of euro and dollar bonds that we have with a weighted average of 3.4% and a weighted average maturity of 10.4 years. And in simple terms, we basically pretty much halved the coupon and doubled the maturity portfolio of the bond portfolios in the last 4 to 5 years. And also just to point on the banking facilities, we're showing both our own revolver of GBP 2.5 million for WPP and also the WPP-AUNZ facility that is being set up locally to support the STW acquisition of AUS 520 million that matures in March 19 just for information. 
 And with that, I'll hand over to Martin. 
Martin Sorrell: Thanks, Paul. As usual, what I'd like to do is just start off on Slide 35 with a little overview of how we see things from a macro, micro point of view. Global GDP forecast for this year of around 3%, 3.5%, so low growth. A little bit of recovery, but it's the first part of the forecasting cycle, most commentators, IMF, World Bank, Goldman et al, are talking about 3.5% to 4% nominal, so a slight increase. If you look at the U.S. Business Council, which essentially tends to be more focused on the U.S., a little bit more conservative and has proven to be a bit more accurate last 3 or 4 years, most forecasters started high and come back. So tepid growth, it's not quite Goldilocks, it's not too hot, not too cold. I think on balance, it's a little bit too cold. Brexit impact is estimated by the IMF to be about 0.002% for the world, a little bit more for Europe, EU, a little bit more for the U.K. And as we've indicated in our statement, we think Q3 reflected a little bit of the Brexit uncertainties. Every client we've talked to almost without exception always with heavy U.K. exposure, the first item of discussion is Brexit and the uncertainty. And of course, there is added uncertainty still concerns over Greece in the background, and indeed, European banks, Germany and Italy. Uncertainty from the political point of view. A number of key elections; France, Germany probably being the most prominent in Europe and referendum of the most prominent, which is the Renzi referendum shortly. And obviously this has been heightened by populists and protectionists issues. Here in the U.S. on Friday, we saw Comey's release of a letter to Congress, which has probably thrown another spanner in the works, in terms of the presidential election but we've got all the other elections and instability from a government point of view in Spain and Italy. 
 Mandatory policy is expected to remain accommodative with a downward pressure on global interest rates, but it can't last forever and there are other things like Governor Carney's potential exit, which we think would be extremely negative for the U.K., at least in the short-term to medium term and the Bank of England seems to have done a good job in buttressing a difficult situation post-Brexit, is clear that the BOE sees things that the general public and indeed specific company's analysts don't see. All the basic issues, in terms of political, geopolitical issues and terrorism and Middle East and Turkey, Ukraine, and Russia, which brings a very difficult relationship with Russia, which is very important. And from a commercial point of view, we had our European board meeting in Berlin for 2 or 3 days last week, and quite clearly, President Putin visited Berlin whilst we were there on a surprise visit. Clearly, Russia and German relationships are under pressure and German multinations had penetrated Russia to a very significant degree. Traditional media remains under pressure, as new media continues to grow, despite issues over measurement and other issues. And it's clearly convergence to as we've always said, a month between content and Telco for example, AT&T's bid for Time Warner, there's 2 schools of thoughts on this. But first the more optimistic, which is this is a big opportunity for better consumer offers and for better targeting of advertising and developing of targeted and addressable TV advertising, in particular, a third force. If you like, in comparison to Google and Facebook, Snapchat might be that third force. AOL, Yahoo! might be, Verizon might be that third force, our own Xaxis AppNexus is already a third force of sort. But clearly, there is a need for a balance. We will be announcing an interesting joint venture with 2 other major companies, bigger companies than ourselves in short order on Addressable TV. So there's a big opportunity there. That's the optimistic view. On a more pessimistic view that AT&T is a telecoms company garner its growth and Time Warner is facing challenges, as a media company, although the offer from AT&T was at about a 20% to 25% premium lease in nominal terms over the Murdoch bid a few months ago. 
 Buttressing that consolidation in telecoms and content, we have had significant industrial consolidation: BAT and Reynolds, Bayer and Monsanto, Syngenta-ChemChina, all big examples of major consolidations going on in the market generally. And then from a geographical point of view, there are clearly opportunities in Argentina, where we're very bullish with President Macri; in Colombia, in Egypt, in Indonesia, Mexico, Nigeria, Peru, Philippines, and Vietnam, as well as of course of Cuba and Iran, where in Cuba and Iran, we're making significant moves and more moves in interesting markets. 
 From a micro point of view, the new normal is low growth, low inflation with the exception of the U.K., but in depends how rapidly the U.K. starts to grapple with the export issues, like the Germans do. No pricing power as a result and therefore focus on cost. Legacy spectrum is disruptive to 0 base budgeters and activist investors and that increases the short-term focus and that uncertainty, all of that uncertainty, is reducing investment in innovation in favor of buybacks and dividends. There is, however, growing importance of horizontality. We see that in our industry. It's probably the biggest challenge facing all the major holding companies, parent companies, about how they integrate their office in a more meaningful way. I think most, if not all, are moving in the same direction. There's a question about the speed with which you do it and the disruption that you are prepared to cause to your own organization. We're seeing 1 or 2 of our clients, 1 of our competitors, 1 in particular, going clearly too far too fast and causing a lot of internal disruption and dislocation and fragmentation and other competitors are going at varying speed. 
 Shopper marketing, obviously, a really important area, the amounts of money that clients invest in discounts and promotions, but particularly discounts, often exceeds their above the line spending and in some cases even as much as their profitability. Clearly developments in e-commerce becoming more important. We focus on the duopoly of Facebook and Google, but however, the really important factor here beyond Facebook and Google is, of course, Amazon and indeed Alibaba and even companies like Flipkart. 
 And then finally, the application of technology Xaxis and AppNexus in our case data with Kantar and comScore and content, what we're doing with VICE and Refinery29 and others is clearly critically important as well. So those are the growth areas. 
 The media landscape remains fragmented, getting increasingly fragmented, and raises the complexity work and it's an opportunity for us, despite issues such as the ANA report. And I would just add that the ANA report has certainly stimulated the audit industry. But really the focus has to be not on a market like the U.S., where there is significant transparency, it has to be on Japan, as we've said, continuously and the Middle East. We've seen what's happened in Japan, since we last talked at the half year, clearly raises red flags and there's more work to be done there. Similar red flags should be raised, in relation to the Middle East, which is totally lacking in any significant transparency. 
 Efficiency and effectiveness are still key. There's client pressure that continues on pricing and payment terms. There's little discussion of this on quarterly calls. It continues and it’s probably a little less than it was, but it's still there and it's there I would point out at relatively low interest rate. And, of course, there are differing approaches by differing competitive companies as to how far they're willing to go in those areas. 
 There's scrutiny around clients about the effectiveness of digital, particularly around issues of value and viability and verification. That's what Keith Weed described the 3 Vs at CMO of Unilever. And, of course, Google and Facebook measurement questions, which has come in to sharp relief not just because of the bots analysis that appeared on the front page of the FT a few months ago, but, of course, the mistake that  Facebook made in its own measurement data just recently. And I saw just this morning, a correction by Nielsen in relation to its cable data. So clearly, there are some issues. There are really big opportunities for companies like comScore and others to capitalize on. And I mentioned, the Google and Facebook, duopoly. I mentioned, the rise of the third force, and, of course, the rise of Amazon, penetrating a number of categories, whether it'd be diapers in the U.S. As a putative father, I'm very interested in the diaper industry. And looking at closing, is another area. And looking generally, Amazon now reaches 40% of the U.S. population within 20 miles with physical locations. Wal-Mart covers about 80%. So Amazon's almost half way to covering the U.S, despite the fact that we think of it being an e-retailer. On 36, we just track worldwide GDP and compare it to WPP's GDP and like-for-like revenue and net sales growth over the last few years. And you can see, the 2 blocks to the right of this slide, the hatched, the grey green hatched. These are the IMF forecasts in the 3.5% to 4% range for '17 and '16 at around 3%, 3.5%. You can see the impact that those have on WPP's nominal GDP, the hatched line, the hatched blue line and you can see Goldman's forecast of GDP nominal showing an increase for '17 as well. We pretty much track what's happening to worldwide GDP. Obviously, as the mature markets become more significant in terms of growth, the worldwide GDP tracked much more closely to WPP's GDP. 
 On 37, we just go over with the way that we see the new normal, low growth, low inflation or no inflation, little pricing power and a high focus on costs. And on 38, we just described the legacy spectrum, as we call it, the disruptors, the Airbnbs and Ubers, are one in the spectrum. The 0-based budgeters like 3G Capital or Coty or Reckitt Benckiser maybe a little bit less credited or discredited in the pharmaceutical area but obviously putting great pressure on not only on the packaged goods but pharmaceuticals. 
 And in the middle, Ackman, Loeb and Peltz being the poster children of the activist investors. That creates significant pressure for legacy companies. Executive tenure is low. Its CEO tenure is around 6 to 7 years; CFO tenure, 4 to 5; and CMO 3 to 4. Paul Polman at the Singapore Summit mentioned that CEO tenure, according to the latest statistics from McKinsey, might be as low as 4.5 years. And these results is what you see in Slide 40 of a continuous growth in dividends and buybacks now well in excess of 100% of earnings certainly in 5 of the last 6 quarters in the sixth at 98%, clearly management is aggregating responsibility for reinvesting retained earnings to institutional investors and to analysts. And if you think that's just an S&P phenomenon, look again at the FTSE 100, it's true that the FTSE EPS has shrunk new index at 100%. At the beginning of '11, it shrunk to about 70%, but are very indexed and payout ratio as a result, but you can see that payout ratios have gone from just over 50% over the same period to just over 70%. WPP's payout ratio is now getting close to 50%, which is where it probably will stay, that's a board decision, but that clearly will be an area around which we will probably stick. 
 If you look at investment on Slide 42, the proportion of GDP in the U.S., you can see a steady decline since the 1980s. It's troughed around layman in 2009 has recovered slightly, but it's still significantly below investment as a proportion to GDP, both corporate and government. So the problems around infrastructure investment for governments are mirrored in the corporate sector or vice versa. And on 43, we just highlight that real growth comes from investing in those companies that invest in innovation and brands. The top 10 in our last 10 years brand survey with the EFP, if you invested in them, you'd outperform the S&P 500 by 75% and the MSCI by over 4x, by almost 5x actually. So investing in the strong branded companies, the most highly valued companies works because they invest in turn in innovation and branding. 
 Now on 44, we just did an analysis, Lisa and Fran did an analysis of top 20 clients and the trends in the third quarter. And it is quite interesting just to look at the -- this is the average as best as we can determine of our 20 largest clients. And you see, their third quarter like-for-like revenue growth was around 3% for that top 20. And that was well balanced between 1.5% in price and 1.5% in volume. Some managed to achieve little or no volume, some mostly price, but if you looked at it overall in the aggregate about even-steven, 50-50, of that 3%, half came from price and half from volume. U.S. growth was just under 3% and international just over 3%. So a little bit more headroom internationally driven by the faster growth markets. 
 And of course U.S. reporting companies the bulk of the top 20 are U.S. reporting companies suffer from the strength of the dollar just as we benefit from the strength of the pound. Our strategy on 45 remains very focused on horizontality. We moved that up several months ago to #1, in terms of our strategic objectives. We're doing very well in that area, despite 2 significant bumps that we had recently. But when we start to look at how we lock together our offer, whether we look at sensors or pharma or a number of other pitches that we won and others that are coming through now and are imminently coming through, what we see is a greater ability to lock our offer together and to make is as uncomplicated as ever. 
 I guess, just to underline, again, that I don't think any of the holding companies now disagree, 10 years ago, 7 years ago, 5 years ago, they would disagree on the direction. There is a need for greater integration. The question really is, how fast do you do it? Do you do it out of desperation? Or you do it out of strategic focus and whether you do it quickly or you do it more carefully. It's clear, the direction in which we're going. Beyond horizontality, the 3 areas of faster growth markets. They are less fashionable but underline that next 1 billion consumers are not going to come from the U.S. and Western Europe, they will come from Asia, from Latin America and from the Central and Eastern Europe and Africa and in the Middle East. The faster growth markets are 1/3 of our business, close to it, again, we want it to be 40% to 45%. We are held back by the weakness of the fast-growth market's currencies, particularly in recent years. But we're moving in the right direction and new media, digital, in particular, around 40% of our business already we are well on to our target of 40% to 45%, which I'm sure we will raise significantly in the next year or so. 
 Data investment management and quantitative a half of our business data on its own is 25% and integrating that data offer is critically important. Just to remind you on 46, we have a global and a local approach. We have our 11 verticals. This is how we run the company, the 4 agencies, the media operations, data operations agent-based strategies, one of our public relations networks, the other 4 or other 3 are embedded in our agency, BrandZ, these are the group branding and identity operations, healthcare, which we're now in the process of renaming WPP Health & Wellness, WPP Digital and WPP Specialist Communications. And the 2 integrators are client leaders, leaders for our clients now well over 45 of our clients covering about 1/3 of our business, 7 billion out of the 20 billion are led by client leaders and 51 countries and those countries and regions covered by country and regional managers. 
 So to sum up on 47, third quarter and the year-to-date. A strong reported revenue growth of 15.8%, like-for-like revenue growth of just under 4%, like-for-like net sales growth of 3.4%. Advertising and media investment management, public relations and public affairs, and branding and identity, healthcare and specialist communications revenue net sales all strong. Data investment management weaker. But at certainly, an acceptable level and very acceptable in terms of profitability and margins. Third quarter U-S-A, like-for-like revenue growth, net sales continues at a high level. We didn't see anything, any political disruption as indicated by others. I think that was a little bit of a red herring. Mainland China, good progress, particularly in September, but in July and August too and good progress in Mainland China and Greater China. And third quarter like-for-like revenue growth of almost 12% and net sales over 6%. Western Continental Europe continues to grow at high levels. Third quarter like-for-like revenue growth of 5%, net sales over 3%. U.K. weaker in the third quarter, but still at a relatively strong level. Like-for-like revenue up 2%, net sales 2.7% and perhaps that reflects the first signs of Brexit uncertainty or weakness. Tailwind from ForEx very strong 1% in Q1, 4% in Q2, 16% in Q3, 7% year-to-date. And you've seen Paul's indication for the full year of 10%. Year-to-date, operating margins up 40 basis points and 0.4 margin points reportable, 30 basis points and 0.3% in constant currencies and 0.3% like-for-like, in line with our target and a strong acquisition pipeline, 46 acquisitions investments adding just under 5% to net sales. 
 The financial model remains strong and intact. Net sales going to remind you of 0% to 5%, margin improvements of 30 basis points before currency margins movements and long-term net sales margins targets of just under 20%, 19.7%. We use our substantial free cash flow almost equally on acquisitions around GBP 300 million to GBP 400 million share buybacks of 2% to 3% and the payout ratio target of 50%. The incremental 1% to 2% share buybacks was to drive EPS when we dropped our margin target from 50 basis points to 30 basis points. All of that together delivers 10% to 15% EPS growth, which you can see from the leave behind charts with this presentation significantly maintained. 
 The outlook for 2016. Forecasts indicate like-for-like revenue and net sales growth of over 3%. We just pointed out that the reason that we just modified that slightly from well over is that we've seen a narrowing, as Paul pointed out, of the difference between revenue growth and net sales growth, that again, raises a big issue in relation to the industry and the need. If there was one area for transparency beyond Japan and the Middle East, it would be billings figures, revenue and net sales. Just to point out that, that if for example, programmatic declines, the impact is to drive down revenue figure and margins to improve. So I just mentioned that in the context of others results, which I think probably is being a driver of some of the things that we've seen going on in the U.S. elsewhere. Margin improvement in line with our target of 30 basis points and 0.3 margin points pre-currency. Acquisitions adding about 4% to 5% to revenue and net sales. And at current exchange rates, the currency impact is about 10% as mentioned before. Staff costs to remain under control. You see headcount flat. The program that we've done with back-office with IBM, continues to control the headcount and it's a contribution to our margin target too. And the operational effectiveness and efficiency programs, obviously, support that future margin goal. So that's the third quarter and the year-to-date. 
 Paul, if you want to supervise the questions, you and I and others if necessary will cover those of. 
Paul Richardson: We have some microphones going around, so we could start here. If you could just say your name and where you're from help Martin, as he can't see who is talking, so it'd be very helpful. 
Ian Whittaker: It's Ian Whittaker from Liberum. I have 3 questions. First of all, just in terms of, you mentioned you're a Trumpkin. Just in terms of the U.S. presidential elections, obviously, we sort of got more uncertainty going on there. You've said before that Q4 does tend to be important for your profitability, in part because of ad hoc project work that comes in. Do you think there's a potential risk to some of that work from what we're seeing in the U.S. sort of at the moment and determined by the outcome of the election, particularly if Trump gets in. The second question, which is the sort of your initial thoughts on China in 2017, generally just from a sort of GDP perspective, but also as well for your own business, whether you think it's more likely to reflect the trends that we've seen in Q3. And then just coming back in terms of your targets on the percentage of revenues coming from the emerging markets. I mean, obviously, sort of China has an acceleration growth, India very good, Brazil and Russia sort of are you perhaps a little bit more concerned about the longer-term growth potential rates in those markets than maybe you were 12 months ago?. 
Martin Sorrell: Okay. All right. And on Trumpkin, I'm mystified by the ad hoc projects comment. I think it principally comes from Omnicom. I don't think it came from IPG. I don't think it came from Publicis. I think they've indicated they have projects going on for 3 years, again, which mystifies me, but maybe they know more about their business than we do. Having said that, I don't think there is any difference. I think this commentary around ad hoc projects, we have ad hoc projects all the way through the year. If you look at, I mean, firstly, agency of record in our industry generally has got less and less -- retainers have got less and less. So in that sense, I think for everybody, the business has potentially become more volatile in that sense, although it doesn't exhibit. I think what people are saying is that all our forecast and you'll notice that in 2 or 3 parts of our trading statements, our third quarter statement, we refer to traditional conservatism. And I think what we all see is that our businesses don't wish when they make these forecasts, which are bottom-up forecasts to be caught out. They tend to be inherently conservative. And I remember, I think I've said this on a quarterly call before, John Wren and I said about 6 or 7 years ago, we should swap jobs at the end of Q3 going into Q4, because everybody consistently is very conservative in their forecast. So I think people are just really, if I put it a little bit crudely, covering their backsides as to what may or may not happen. But to single out projects, projects continue through the years. Branding, I think in John's call, he referred to softness. In explaining U.S. softness in the third quarter, apart from comparatives, he referred to events and sports and I think food broking or field marketing, that's right field marketing. Those are ad hoc project businesses, but it happens all through the year not just in the fourth quarter. On Trump, whether it's Clinton or Trump, and obviously Comey's comments on Friday throw another spider in the works from the Clinton camp's points of view, whether it's lethal or not is another question. The national polls are showing more equality, the state polls are showing significant differences. The electoral arithmetic, as you know, works in favor of Trump, sorry, Clinton. So I think whoever wins is going to be faced with a highly divided nation. Trump didn't get to where he is now without a vocal and vociferous and strong backing from a significant proportion of the electorate. When you see what's happening in Ohio or Iowa or Florida, obviously, he has a very strong constituency, whatever you think about what he says or what he does. Having said that, there are checks and balances in the U.S. congressional system between the houses of Congress, between the House and the Senate, which I think give you checks and balances. And I don't think we'll make it any more difficult. I think the big issue is, we'll be faced with more gridlock, whoever wins over the next 4 years. So I don't see a significant change. Obviously, some results are conditioned by account win or account loss, and I think that continues to be the primary driver along with -- when you start with GDP and then you see market share shifts, depending on what happens. And you look at our new business record and you get an idea -- we've had some bumps, but basically I think we're starting to overcome those quite strongly and you see third quarter performance was very strong indeed. On China, I don't think the position in China is going to be clear until the party congress this time next year. So we go into November of next year. The -- most commentators say the politburos already been slimmed down, will be slimmed down further. President Xi will be looking probably at a 10-year term, it might even be 15 years. He is now being accorded the role of core leader. So this is an accolade that is only being given to 2 others, historically. So this may mean that he'll stay longer. I don't know, we'll see. I'm going to China next weekend to the Shanghai Mayor's Committee team and we'll see what they say. But I think the general view is you're going to have to wait until this time next year to see whether the President will focus -- make further changes or whether he will focus having consolidated his power base and completed the anticorruption drive whether he then focuses more on growth and economic growth rather than this balance and particularly the anticorruption drive. On fast growth markets, I don't think we have any choice, Ian, the next 1 billion consumers, as I said in the presentation, is not going to come from the U.S., and Western Europe. A lot of the rising populism has to do with the decline or so called decline of the middle class. The middle class is growing and the lower middle class, as you defined, is growing in Latin America. It is growing in Asia. It is growing in Africa and the Middle East. It Is growing in Central Eastern Europe. I think the one exception, and you can see what's happened to our business in Russia, the clearly the economic difficulties that had an impact, clearly the currency, the weakness in the ruble has had an impact and then we've had this unfortunate expropriations, not a big business in the context of our Russian business but our audience measurement business in Russia, which was puzzling in and of itself because the media is controlled by the government. Does it really matter what the ratings say as to where advertising revenue goes? It goes to -- 80% of it goes into Russian pockets, because the media are around 80% by law and they then passed the law on media measurement too. I think they're finding it quite difficult, however, to implement media in a measured way. Just one other point on China. The 1 difference I think it is important to understand is the rise of the local Chinese companies. When I say local, I don't mean local, local in the sense of just confined to Chinese borders or Chinese territories of the 32 Chinese states. I'm referring to the Chinese multinationals Huawei, Haier, Lenovo. The big difference that we've seen in the last year or so has been, in particular, has been the rise of the strong local companies, who can compete very effectively with the multinationals. The multinationals, the Western multinationals do not compete primarily with one another. They might think they do. At the corporate headquarters in their finance departments, but in their marketing departments, it's their local companies that are really key. So coming back to your question around China implication, the fast growth market, we have no choice. The other point I'd make is, the Next 11 and you've seen it from our data continues to be very strong. If you're talking about Vietnam, if you're about Indonesia, if you're talking about the Philippines, if you're talking about Columbia and Peru, Mexico, Argentina, potentially Nigeria, Egypt, these are all markets not to mention Cuba and Iran. These are all markets that are going to become increasingly important and where long-term the growth will be. 
Lisa Yang: It's Lisa Yang from Goldman Sachs. My first question is on your organic growth guidance for the full year, So you still retrade over 3%, which would imply quite some underlying acceleration in Q4, due to tougher competition in the U.S., so given the improvement looking to come from the U.K., just wondering if you can give us some color on which regions do you think will accelerate in Q4, between Europe, U.S. and rest of the world? My second question is on the M&A impact for 2017. As you mentioned earlier, you have 46 deals so far this year, Triad Media is quite a big one. So could you give us any indications or impact from the deal you've done so far? And the last one is on programmatic. We've seen some slowdown in the growth of Omnicom because of the contribution from Accuen, which I think was only 30 basis points in Q3 versus 90 basis points last year. Just wondering if you're seeing any similar trends at Xaxis, and if not, how do you explain the gap between the 2 companies? 
Martin Sorrell: Okay. Well, just on the first array, I think we've indicated in our forecast, we just want to be quite clear, the differences between well over and over are more to do with the fact that there is a narrowing of the difference between revenues and net sales. Here we're at the end of Q3 at 3.8% and 3.4%. So that's really the basic reason for the change in language there. On Q4 itself, what we've indicated also in talking about the forecast that we're reviewing in the first 2 weeks of November, what we've clearly indicated is that the fast growth markets will grow faster than the mature markets. So it is true. I think that something like 40% of our profits come in the fourth quarter of the -- it's really sort of 2/3 -- its 1/3, 2/3 first half, second half, but the balance in the second half of the, sorry in the fourth quarter of the year and the second half of the year is skewing more to the fast-growth markets. So we would expect the BRICs to the next level in Asia, Latin America, Africa and the Middle East, and Central and Eastern Europe to be stronger. In terms of acquisition, we've said for this year, where it is in that 4% to 5% range, we're in the process of doing our budgets for next year. Triad will have an impact principally next year. We'll see exactly how that folds out and it depends on 1 or 2 other things we do before the end of the year. But I would expect -- we're balanced at the moment roughly between organic and growth by acquisition. I'd like to see organic really more than 50% of the total growth, but at the moment, acquisitions -- I mean, it is a low growth environment and we're making a large number of acquisitions, as you know, from the analysis. The third question is a really interesting question. Xaxis continues to grow significantly. We don't give out separate incremental amount of basis points for Xaxis, but we've not seen a slowdown in that growth in the U.S. in the third quarter. The point I would make, which is interesting, and I did say it in the presentation that people picked it up, that if your programmatic slows, the impact is to reduce your revenue growth rate and to impact your margins positively. And then our hypothesis would be, the slow growth that you saw in one of our competitors' Q3 figures, might reflect just that. A slowdown in programmatic, which means revenue grows less far. So if you don't know what the net sales number is, you don't know when the devil's going on. That would also have an impact on margins, a positive impact on margins. So we'll see. We'll see how it shakes up. But I don't find that, I mean, if you look at the explanation, Publicis would be minus 4% in Q3 in the U.S. is clearly to do with account loss. The Omnicom won might be -- that's true, they did have strong comparatives, but it may be something to do with what's going on with Accuen programmatic and it's slower growth rate. 
Thomas Singlehurst: It's Tom here from Citigroup. Two questions. The first one is on 2017, a company we're talking about already but you do go out of your way in the outlook to say you see no reason why revenue net sales can't be above 3% in '17. So I was wondering whether that's something specific in terms of account impacts or trends or is that just based on your general feeling of how the macro is trending? And then the second question is on market research or data investment management as you call it. You say growth is weaker, but that's acceptable. I'm just wondering whether that's a function of sort of just sort of giving up on it or is there a -- can you talk about that in particular in the context of the restructuring you're doing earlier in the year? 
Martin Sorrell: Yes. Just on the 2017. I mean, it's not so strange, here we are going into November, we're starting our budgeting process or planning process. We update our 3-year plans. We're going into our budgeting process. I don't think it's -- but the answer to your question, Tom is, this is a reference really to GDP growth rates. It's more about what we see the general picture is likely to be, and when we look at next year, the GDP forecast is slightly stronger. I think we saw a little bit cynical about that, but that's more to do with the stage we're in the forecasting cycle, rather than the accuracy of the forecast. And again, I just underline when I look at the business council forecast, we had a business council meeting in LA, the week before last. It's clear from that, that U.S. businesses retained there or U.S.-based businesses retained their caution about what's happening in the U.S. economy, going into 2017. So I would say, and answer to your question, it's more about the general than it is about the specific. We're not -- by no means we're giving up on data investment management or DIM. What we're saying, however, is that, that custom research is a difficult business. And if you look at the results that we saw, we've seen an improvement and it's also after a very difficult period. GfK still are struggling. Nielsen's figures came off quite significantly in the buy area. That looks as though it's a client concern or dissatisfaction or cost-cutting in relation to their audit business, rather than their media business. But clearly, I think because of this low growth environment with low inflation and focus on cost, custom research, in particular, does suffer and it goes back to the question, the Goldman question just before, the Liberum question just before that, in terms of fast-growth markets, the pressure on the custom business in those markets is less so. When I say it's acceptable, it's certainly acceptable in the context of the strategy of the company, which is to bind together increasingly the media or let's start digital media and data parts of our business. Where we've been successful and indeed where we've been unsuccessful, it is quite clear that data analytics and data play a key part and binding those things together, locking them together in a more effective way is critically important. And so I think, it's a very important part of our business. On the restructuring side of the business, we've made significant investment in that in '14 and '15 and we're reaping the benefits of that, certainly, on the margin side. The 1 Kantar restructuring that started at the beginning of this year has moved the business together, I think much more successfully. It's a forerunner of what we're doing across the whole of WPP and we'll do over the coming years across the whole of WPP. I think it's an integral part of our offer and cannot be broken apart. And what's interesting is that I think competitively people are starting to understand it is more and more important. 
Chris Collett: It's Chris Collett from Deutsche. Just had 2 questions. One was just on, I think you mentioned that ANA report had been good for the media audit industry. I was just wondering have you seen an increase in an above what you'd normally expect of clients conducting media audits. And would you like to share if there's been any results from that? And then second question perhaps for Paul, was about very good working capital position of the third quarter, how much of that do you think you can hold on to at the end of the year? 
Martin Sorrell: You go ahead Paul on working capital, and I'll come back to media audit. 
Paul Richardson: I think on working capital, we've done a number of things that it is a side benefit of the shared financials services centers. So the 2 markets where we've done considerably better than a year ago, China and the U.K. and, in fact, the focus has been on reducing the amount of receivables outstanding, that were overdue. And we've seen a very significant improvement in the U.K. because improvement in process and a better understanding of how the shared services center and the businesses can work together collectively to resolve the issues that we find at the client level. So that's been like a, what I call process and operational success. In China, it's more to do with faster billing of invoices and it's got a tax difficulty in raising invoice in China than canceling. So what tends to happen is the process of raising invoice has to wait for media verification and that quite can be quite lengthy. And it was more correction of a problem that we had last year, getting back to normal but then making further improvements, that's probably the most significant number. I think what is clear is we're beginning to understand in all cases, how to make the process better. And I think speaking in terms of Australia, where we're combining, obviously, our business with the STW businesses, one of their media businesses had 0% or 2% overdues after 30 days and with an excellent example of what can be achieved. So I think there's many markets where we can make the improvements so they should be sustainable. I think we've had a good run, but partly, it was a correction of a situation we weren't very happy about in China a year ago. 
Martin Sorrell: I think the 2 biggest improvements have been in China and the U.K. and that demonstrates what we can do when we put our minds to it. And we haven't been -- I think one of our weaknesses has been that we haven't been placed enough emphasis on it and it just shows what you can do if you focus on it. So I think there's more to come if we focus sufficiently on it. On audits, there have been a few audits. I wouldn't say -- I think 1 competitor, I think it was Publicis, mentioned 20 audits. I don't think it's anywhere near as many as that, but there is certainly increasing attention to audits and raising audits. But the issue is not and I come back to what I said in the presentation. The issue is not the U.S. issue. I mean, all 6 holding companies are being labeled in the same way and assuming just put to 1 side whether any is different to the other for a minute, the issue is not a U.S. issue. And the QED of that is what has happened subsequent to that ANA report. There has been a change in leadership of the ANA. And if you look at the statements by the ANA at the ANA Masters, there has been a change in tone and a change in emphasis already. And I think there will be a further one. But again, I don't want to say I told you so, but I do want to say I told you so. We've said that the 2 areas of the world, which needed the greatest scrutiny were Japan and we offered the ANA we said, there are no rebate issues in the U.S. If you want to deal with problems, work with us to do something about Japan, whether it's very little if any transparency and work with us in the Middle East, where there is probably even greater untransparency. In 1 region of the Middle East, there has been a rejection of sophisticated media measurement and one wonders why that is the case, other than for reasons of transparency or the reverse opacity. And if I sound somewhat frustrated by it, it is firstly, what do we see since we last met, but a signal case with a number of instances in Japan. So that clearly has to be addressed and dealt with. And then I would say, we move on from there to looking at the Middle East. Everybody in the industry knows, clients know it, media owners know it, we know it. It has to be dealt with it. But we're looking in the wrong places. So all the audit activity in the U.S., however significant its size, whatever it is, is misplaced. That doesn't mean there shouldn't be standards, sure there should be. But we all know and is no good pushing on the open door. You have to push on the closed doors, the doors where it is difficult to get traction and I would say that's Japan and the Middle East. 
Paul Richardson: Patrick? 
Patrick Wellington: It's Patrick Wellington from Morgan Stanley. A couple on margins. From memory last year, smaller currency movement led to about a 15 basis points reduction in your margin. This year you got the currency movement and you point towards a 10 basis point improvement in your margin, despite the ANAs being the place where the margin -- where the currency effect has come through. So surely we should be looking for more than 40 basis points for the full year. And while you consider that bombshell. The second one is -- the second one just relates to the number of staff. Martin, you've got number of staff broadly flatten out for the last 3 years and yet your margins keep rising 30 basis points. How long can this miracle be performed? Were you hinting earlier that we were going to get some more exceptionals at the end of 2016? 
Martin Sorrell: Okay. Patrick, we'll let you have it. The answer -- while I let Paul -- well, let me just weigh in a bit on the margins and then he can. On the margins, we're very happy with our 30 basis points pre-currency. If we can eke out more with currency, I would just make the point that at some point in time, the pound is going to go the other way and we'll have a headwind of significant proportions. It may take some time, depending on your views on Brexit, but it will take -- it will be more difficult. So I think we want to do it in line with our model of 30 basis points or 40 basis points, whatever delight you take in tweaking our tale, Patrick. On the headcount, we're pleased with the fact we've managed to control it. We are investing, whilst we've invested a lot of time and effort in Coretech and in improving the back-office or actually not improving the back office, really fundamentally trying to reengineer for the first time in our sort of 30-year history, our back-office is not an easy exercise. We've done okay so far, but there are -- it is challenging to say the least. And I think headcount or lack of headcount increase indicates. This is not just back office, I think our companies are running their businesses in a highly responsible way and we're looking for ways that we can improve our productivity all the time. But the trouble with you Patrick is, we give you a finger and you take our hand, we give you our hand, and you take our full arm. I think we will just leave you with our finger. 
Paul Richardson: I think it is very hard to predict. So the truth is the numbers will fall out as they fall out. I think at the 9-month stage, you can see that the pound weakness against the dollar is 15%, the pound weakness against the euro is 15%. With 37% U.S.-based, 20% constant European based. Now the benefit of restructuring in the main is in our lower -- the lowest margin region that we have is Western Continental Europe. So the better we can do in financial performance, in terms of margin improvement, in Western Continental Europe has an overall effect on the group margin. The U.S.A., however, is our best margin region. And so margin improvement from the U.S. is less likely to come through. And so the relative strength of the margin improvements per region adjusted for the relative strength of the pound versus the dollar and the euro. That combination is really hard to predict. But in truth, as I said at the half year, we're expecting 10 basis points. And what is the maximum we could expect to come from currency benefit to margin, 20 basis points. So it is somewhere in that range. But the outcome will be purely dependent upon those really 2 key elements. The margin improvement for the 2 regions and the relative strengthens or weakness of the pound versus those 2 currencies. Anymore for any more? I think Martin, we have come to an end. 
Martin Sorrell: Okay. Very good. Thank you, everybody. Look forward to talking to you soon. Fran is with me in New York. I think Lisa’s in London, Paul is in London. And we have our U.S. call in a few hours. Okay. Thank you very much indeed.